Operator: Good day ladies and gentlemen, and thank you for standing by. Welcome to Portillo’s Third Quarter 2021 Earnings Conference Call. At this time all participants have been placed in a listen-only mode. Please note that this conference is being recorded today, November 18 2021.  I would now like to turn the call over to your host, Mr. Fitzhugh Taylor, Managing Director at ICR. Thank you, you may begin.
Fitzhugh Taylor: Thank you, Rob. And good morning, everyone. With me on the call today is Michael Osanloo, President and Chief Executive Officer of Portillo's, Michelle Hook, the Company's Chief Financial Officer.  Before we begin our formal remarks, let me remind everyone that part of our discussion today will include forward-looking statements. These statements are not guarantees of future performance and should not be unduly relied upon. We do not undertake to update these forward-looking statements unless required by law. And we refer you to today's earnings release in our SEC filings for more detailed discussion of the risks that could impact Portillo's future operating results and financial condition.  Our remarks also include non-GAAP financial measures such as adjusted EBITDA, and restaurant level adjusted EBITDA, we direct you to our earnings release issued this morning, which is available on our website for reconciliations of these non-GAAP measures to their most comparable GAAP measures. Any non-GAAP financial measures should not be considered as an alternative to GAAP measure, such as net income or operating income, or any other GAAP measure of our liquidity or financial position. Finally, after we deliver our prepared remarks, we will open the lines for your questions.  Let me now turn the call over to Michael Osanloo. Michael? 
Michael Osanloo: Thank you, Fitzhu. And good morning, everyone. We appreciate you all joining us for what is our inaugural quarterly earnings call as a public company. It's an incredibly exciting time for Portillo's. We are so proud of the successful completion of our IPO and we're pleased with our performance so far this year, which is reflected continuing improvement in guest traffic as our business is evolving into a new normal.  Our teams continue to pivot in a smart, efficient way to serve our loyal guests in a safe environment. I couldn't be more pleased with our performance led by our amazing teams and their ability to successfully adjust and continue to improve. And importantly, they're doing all this while living our values of family, greatness, energy and fun.  Before I let Michelle review the quarter results in more detail. Since this is our first earnings call since our IPO, I want to take a few minutes to talk about Portillo's and just share what makes our brand so special. Our story began in 1963 when Dick Portillo invested $1,100 in a trailer in Villa Park, Illinois. The dog house as he called it, sold hotdogs, fries and tamales. A few years later, Dick opened his first freestanding restaurant and named it Portillo's. And that was just the beginning of this great American success story.  After gradual expansion over multiple decades, Berkshire Partners acquired Portillo's in 2014 and has since accelerated our growth, adding 29 restaurants across six additional states. Most people think of Portillo's as a Chicago institution, but the reality is we've burst our steams to become a national brand, with 68 restaurants today, soon to be 69 across nine states.  Even as we've grown, we've maintained that iconic status with our fans who are truly obsessed. We do this with our unique menu of unrivaled Chicago street food and all American favorites that has something craveable for everyone. We've got Italian beef sandwiches, Chicago style hot dogs, char grilled third pound burgers, fresh made salads, and much more. All at a remarkable price point.  In addition to this amazing menu. I also want to stress Portillo's operational excellence across numerous order channels. We've been multi channels since before it was even a thing. While other brands have been chasing this, especially since the outset of the pandemic, this is what Portillo's has done from early on in our history. Just to give you an idea of our business, both pre pandemic and now, our annual drive thru-sales represented $3.4 million per restaurant in 2019 and $4.9 million in the 12-months ending Q3 2021. That's just our drive-through.  Our dine-in sales represented $4.4 million per restaurant in 2019 and $2.1 million in the 12-months ending Q3 2021. Although dine-in has decreased because of the pandemic, traffic remains healthy. That's impart because our restaurants are beautiful, and they're engaging. They're thoughtfully designed to handle incredible volume, while still providing a memorable and differentiated experience with each having its own locally inspired decor.  And then there's delivery. We started delivery in 2017 and it accounted for about $500,000 per restaurant in 2019, and nearly $900,000 in the 12-months ending Q3 2021. Our other channels are also growing, we cater literally tons and tons of food in convenient formats that fit any occasion. I already mentioned that our fans are obsessed, people love catering Portillo's for their gatherings and events.  We also have a really strong direct-shipping business that not only gives us sales, but provides key insights into where there's latent demand for our business. This multichannel approach allows us to achieve best-in-class unit economics, including the highest average unit volumes in the fast casual space and adjusted EBITDA margins that put us in an elite class of restaurants. We are committed to continuing to be a world-class multichannel restaurant brand, with incredible sales from all of our channels. Switching to development. By the end of Q4, we will have added two new restaurants to the portfolio. Opening location number 68 in the Indianapolis market in the City of Westfield, and location number 69 opening in about two weeks in Madison, Wisconsin. Both new locations demonstrate our strategy to open new restaurants outside of our core Chicagoland market.  The Westfield location on the north side of Indy adds to an already strong presence as our fourth restaurant in Indianapolis and the seventh in the state. And the new Madison location will be a second entry to Madison, and the fourth in the state. Each of these serves a separate and distinct trade area. With these two, we will have added five new restaurants in 2021, including two new markets having opened our first which includes Orlando, Florida, and Sterling Heights, Michigan.  As we move into next year and beyond, we're excited about our massive whitespace opportunity. As we've previously stated in our IPO filings with the SEC, there's potential for over 600 Portillo's restaurants throughout the country. This is obviously a long-term growth number and we plan to expand at about 10% growth annually. Our current plan is to open seven restaurants in 2022. And we're targeting to expand our presence in Florida, Arizona, Indiana, and Michigan, as well as an initial expansion into Texas.  Strategy allows us to tap into our two-pronged approach to expansion first, continuing to expand our presence in our core market across the Midwest, and second, targeting national markets across the Sunbelt for opportunistic growth. One specific new location plan for '22 that I want to highlight is, what we're calling a Portillo's pickup, which will be located in Joliet, Illinois.  Unlike our other restaurants, this off premise only spot features a smaller footprint than the traditional Portillo's and it will not have a dining room. Instead, it'll feature three drive-through lanes as well as a pickup area catering and delivery. This is the first prototype and if successful, gives us a great option to fill in mature markets.  Finally, as we grow our unit count, we continue to be focused on our talent pipeline. We will continue to invest in our training programs, develop leaders and live our values of family, greatness, energy and fun each and every day. All of these efforts are reflected and drive our financial performance.  With that, I'm going to turn it over to Michelle to cover more details about our financial results.
Michelle Hook: Thank you, Michael. Before we discuss our third quarter results, let me briefly recap our recent IPO. On October 25 following the end of the quarter, we completed our IPO by issuing approximately 23.3 million shares, including approximately 3 million shares sold to our underwriters as part of the over-allotment option at an offering price of $20 per share.  We received net proceeds of approximately $429.9 million after underwriting discounts and commissions and estimated offering expenses, which we used, along with cash on hand to one, repay the redeemable preferred equity and full, including the redemption premium, all totaling $221.7 million. 2, repay all of the outstanding borrowings under the second lien credit agreement, including prepayment penalties, all totaling $158.1 million and 3, purchasing LLC units or shares of Class A common stock from certain pre IPO LLC members for $57 million.  Also in connection with the IPO in the fourth quarter, each option under the 2014 equity incentive plan that was outstanding, whether vested or unvested, was substituted for an option to purchase a number of shares of Class A common stock under the 2021 equity incentive plan, and the option holders received a cash payment in respect of their options, whether vested or unvested, and an aggregate amount of approximately $6.3 million.  In addition, as a result of modifications to the terms of certain pre IPO performance vesting awards, we will record a compensation expense based on the fair value of the modified awards. We will expect to recognize a cash compensation expense of approximately $1.3 million and a non-cash compensation expense of approximately $23.3 million each in the fourth quarter.  Now turning to our results for the third quarter, revenues were $138 million, reflecting an increase of $18.3 million, or 15.3%, compared to the third quarter of 2020. This was driven by a 6.8% increase in our same-restaurant sales, combined with the opening of two new restaurants in the fourth quarter of 2020 and three new restaurants opened in the first three quarters of 2021.  The same-restaurant sales increase of 6.8% was primarily driven by a 7.9% increase in average check, partially offset by a decrease in our traffic. Our higher average check was due to increases in our menu prices, mix of items sold, and more items per order. The decrease in traffic reflected continued pressure from COVID. As we have fewer people dining in our restaurants versus pre pandemic levels. This was partially offset by more people going through our drive thru channels.  While all dining rooms were opened during the third quarter, we continue to be subject to local mass mandates for indoor dining in many of our locations. We aim to continue to provide exceptional service to our loyal guests in a safe environment for both our team members and guests.  Now returning to our cost of goods sold. Cost of goods sold excluding depreciation and amortization as a percentage of revenues increased to 32.1% from 30.6%last year, primarily due to an increase in commodity prices, specifically beef. This was offset by an increase in our average check.  We, along with others in the industry continue to navigate through disruption in our supply chain, and we continue to work hard to maintain inventory. When it comes to supply chain, we're confident in both our distribution partners and suppliers. We have outstanding relationships that we believe will allow us to continue to procure products needed, and we feel extremely confident in our distribution strategy.  Moving on to labor. Labor, as a percentage of revenues increased to 26.8% from 24.3% last year, primarily due to an increase in hourly rates, investments made in training costs and discretionary bonuses. All these costs were partially offset by an increase in our average check. As you are all aware, the labor market is extremely tight right now and everybody is competing for talent. We've made a substantial investment in team member pay in the second quarter as part of an ongoing enhancement to our pay, benefits, training and talent development. And we are seeing the impacts flow through in the third quarter labor expenses, as our average hourly rates are up nearly 20% quarter-over-quarter. While the current labor market challenges have hindered our ability to be fully staffed, our restaurants have not had to limit service channels or hours of operation. And we are proud of our committed team members that service our guests each and every day.  We remain committed to investing in our Portillo's family, and as a result, would expect elevated year over year labor costs to continue in the near future. Even with increases in food and labor costs, we continue to produce strong margin results when you look at both the restaurant level margins and the adjusted EBITDA margins within the quarter.  Now, turning to our other operating expenses, those expenses increased $2.5 million or 19.5%, which was primarily due to the opening of five new restaurants since the third quarter of 2020. In addition to incremental costs for cleaning, and utilities, as dining capacity have expanded since the third quarter of last year. All this was combined with an increase in our direct marketing expenses, as well as repair and maintenance costs.  Looking at our occupancy costs, those decreased as a percent of sales, primarily due to the year-over-year sales increase previously described and as inclusive of the opening of the five new restaurants since the third quarter of 2020. When you look at our restaurant level adjusted EBITDA, that metric decreased 1.1% to $34.2 million, largely a result of the impact of commodity and labor inflation. We did not take any incremental pricing during the third quarter, and have increased certain prices to reflect an approximately 3% price increase in the early part of the fourth quarter, to combat both the commodity and labor headwinds, we're seeing.  Our G&A expenses as a percentage of revenues increase to 8.5% from 8.1% versus last year's third quarter, primarily due to higher wages, resulting from annual rate increases, filling open positions, higher training program, proper future restaurant leadership, and higher costs associated with becoming a publicly traded company. When you roll all of this off, it led to adjusted EBITDA of $24.2 million, versus a prior year of $26.4 million, a decrease of 8.4%.  Now from a balance sheet perspective, as I previously mentioned, we use the proceeds from our IPO along with cash on hand to repay the redeemable preferred equity in full, repay outstanding borrowings on our Second Lien Credit agreement, and purchase LLC units or shares of Class A common stock from certain pre-IPO numbers. After making those payments, our cash-on-hand today is over $40 million and remains healthy. Additionally, our debt has decreased by $155 million, and the full balance of redeemable preferred equity have been extinguished in connection with the completion of our IPO.  With that, that concludes our financial results. I'll now turn it over to Michael for closing remarks.
Michael Osanloo: Thank you, Michelle. We've talked a lot about Portillo's growth. Across the landscape of fast casual and quick service restaurant chains, Portillo is really is a standout when it comes to unit omics. But there's one major component that makes our brand so special. It is our people centric values driven culture. Our purpose is central to everything that we do. And we use our values of family greatness, energy and fun as our guiding principle we care for and invest in our team members, and they in turn care for and invest in Portillo's.  For example, when Portillo's completed its IPO last month, we awarded all restaurant managers one-time restricted stock unit grants. We know our over 500 managers work hard every single day. And I am proud that we take care of our leaders.  By nurturing our connections as a family of team members, our teams are most motivated to work even harder for one another and to take amazing care of our guests. It's palpable to our guests. It's why they're obsessed. They aren't just coming to Portillo's for the craveable food at a fantastic price point, they're coming for the experience. And that's an experience that translates across the country. Thank you.  Operator back to you.
Operator: That concludes our formal remarks. As always, thank you for your interest in Portillo's. [Operator Instructions] Our first question comes from Andy Barish with Jefferies. Please proceed with your question.
Andy Barish: Hey, good morning, guys. Just a quick question, I'm trying to sort of conceptualize the near term margin challenges and how much we should be looking at third quarter being a base, or do you expect some near term pressures, as the industry has been talking about. And then sort of seeing things reach more of an equilibrium as you move through '22. Just trying to get a sense of some near term color on the margins there?
Michael Osanloo: Yes, first, nice to hear from you, Andy, hope you're doing well. Before I turn over to Michelle, there's one thing that I think I don't want anyone to gloss over. Is that the Q3, we kind of took the full brunt of all of the commodity and wage inflation, and there was no pricing to mitigate some of that. So keep in mind, we took pricing at the very beginning of Q4. And obviously, we think that that will mitigate some of the margin pressure.  But I'll let Michelle expand. 
Michelle Hook: Yes, Andy. I think when you look at the pressures we're seeing, in the back half of this year, we expect them to continue into the fourth quarter. And when we think about '22, as well, I don't think we see an end in sight in terms of commodity inflation. But to Michael's point, I think I mentioned the pricing action we took at the beginning of Q4, which was around 3% pricing. And we're going to continue to evaluate that as we look into '22 based on what that outlook continues to look like. And we'll make decisions on if we need to look at adjusting pricing further. But we know that the healthy way to grow this business is through transaction growth. But we'll continue to evaluate both those key lines of food and labor and see if we need to again adjust price as we move into '22.
Andy Barish: And just as a follow-up on pricing. When is your typical kind of annual price increase? And how do you look at that, as you mentioned over the next few months or so?
Michael Osanloo: Yes. What we like to do Andy, as part of our strategy is typically be price laggards versus the rest of the industry, we carefully evaluate what the rest of fast casual and QSR is doing. And we try to make sure that we maintain an exceptionally strong value proposition. But we also feel that we have very, very sharp price points, and we have some pricing power at our disposal. And where we evaluate it on an ongoing basis, I don't think we live in a typical environment right now when it comes to commodity inflation.  So we're treating this year as somewhat idiosyncratic, and we're looking at pricing constantly. And we're evaluating where we need to be, we're evaluating where the rest of the market is, and we're evaluating what the consumer’s appetite is. 
Andy Barish: Okay, very helpful. Thank you. 
Michael Osanloo: Thanks, Andy.
Operator: Our next question is from John Glass with Morgan Stanley. Please proceed with your question.
John Glass : Hi, good morning. Hey, Michael, you gave some color around the drive thru performance pre COVID and post COVID in the dining business. If you look through the first three quarters of 2021, how is the dining improved? And what I'm trying to get out is, is as dine-in doesn't prove, are you seeing any diminution in the drive thru sales? Or do you think you can hold those? And you think about volumes in the future? Is that a possible state where you know, you've got the diamond back that those elevated drive thru levels remain relatively constant?
Michael Osanloo: Yes. Great to hear from you, John, hope you're well. It's an interesting dynamic, as I think, our drive dining used to be low 50% of our mix. And right now, it's about 32% of our mix, and it's been slow in coming back. I think there's two factors to that. I think one is that dine-in in general across America has been a little bit slow in rebounding with COVID. But also, our restaurants in Chicago, which are still under a mask mandate, and I think been even more affected by that.  Now, the good news is that our drive thru traffic actually remains incredibly strong and resilient. And so as our dining has slowly eked back up towards mix, it has not negatively affected our drive thru channel. I don't know where this will stabilize, I think that there's a lot of opportunity for us, but it would be foolish of me to had a guess on, how much of it is incremental versus how much of it is shifting? 
John Glass: Thank you for that. Can you can you talk about you mentioned Texas as a next year event? When you think the timing of that is, what's the city you selected? Why did you select that city? Or was it maybe just location based not necessarily seam base? How did you think about Texas?
Michael Osanloo: Here, here's what I'll tell you. I, -- everybody in the room is vigorously shaking their head know that I can't tell you the city. But I -- we are super excited about the location about where we're going. I am so eager to talk to you and others about where we're going. Because I think it's going to be a flagship restaurant, that should a really, really strong performer for us.  It's obviously it's going to be our first foray into the great state of Texas, and we want it to be a home run. And we believe that that's what it is. So it will open the fourth quarter, when I can I will certainly tell everyone exactly where it is and build up excitement and momentum. But unfortunately, John, I can't tell you specifically where it is. 
John Glass: Got it. Thank you.
Operator: Our next question comes from Dennis Geiger with UBS. Please proceed with your question. Please proceed with your question.
Dennis Geiger: Great. Good morning. And thanks, folks. First, just wondering if you could share or maybe remind folks sort of what you're seeing in the most recently open stores in some of the newer markets, Michael, perhaps highlighting though the performance of those stores on comp or profitability or other metrics relative to the rest of the system? Or just any kind of commentary you could share on how you been feeling about those new stores in those newer markets?
Michael Osanloo: Yes, I'll tell you, qual -- I'm going to let Michelle give you the specifics. But qualitatively, we're thrilled with them. We think that as a class, the five restaurants that we have, actually six now that we've opened up are all meeting or beating our expectations, so we feel exceptionally good about them. There's a nuances to other than just the financials, what I really love is that we opened these restaurants up 100% with values based hires, right, we hired people who represented our values of family greatness, energy, fun. And the experience that they are providing our guests from the get go, is exceptionally good. And so from a qualitative perspective, that thrills the heck out of me, that's setting up a restaurant for long term success as taking great care of our teams, great care of our guests. And Michelle can highlight for you the financials.
Michelle Hook: Yes, and Dennis so I think this, this was outlined in the S-1 as well. So when you look at the five restaurants that we've opened since third quarter, 2020, they're performing above our expectations. So typically, what our expectations are in year one for a new restaurant would be around averaging 6.4 million AUVs the restaurants, the five that I mentioned, that we opened since the third quarter, are performing roughly 35% above that metric. So to Michael's point, we're extremely proud of the performance.  Most of those restaurants are outside of our Chicagoland market. So our flagship restaurant in Michigan and Sterling Heights, a restaurant near Arizona, and Glendale, and then our first restaurant in Orlando, Florida. So we're proud about that performance and the fact that they're, like I mentioned roughly 35%, above what we were targeting in that year AUV. 
Dennis Geiger: Great, thank you. And then just a second question, just as it relates to supply chain, labor shortages, et cetera. Any thought there with respect to impacting opens over the next 12 months or so, it doesn't sound like and I think, Michelle, you spoke to the strength of your relationships. But just curious if there's anything to note there as it relates to challenges opening stores over the next 12 months, or any impact on build costs, et cetera? Thank you.
Michael Osanloo: There was a lot in that second question of yours, Dennis. So let me let me tease out some of the different parts. We just recently opened in Westfield, Indiana, we're opening in two weeks in West Madison, Wisconsin. And we're in the process of training those teams up. I'm knocking on wood because we were pleasantly surprised at the relative ease of attracting talent and hiring up for both of those restaurants. We are opening those restaurants fully staffed. There are -- I don't know if this is a canary in a coal mine dynamic that the labor markets are freeing up, but we're thrilled with our ability to open those restaurants fully staffed, get those folks trained and get going.  While there are certainly some supply chain hiccups, and that's how I would describe it. It's in no way negatively affecting our business or our ability to run our business. It's just, we see some idiosyncratic spikes and costs and they come back down and something else spikes and then it comes back down. And so I think the next six to nine months requires us to just be super agile and responsive to the supply chain dynamics. But also keep them -- when it comes to labor, we're just going to keep doing what we do, which is, we provide a differentiated opportunity for people, we hire people based on values, we provide them a lifetime of opportunity, if they so choose. And I know you know this, Dennis, but we don't pay minimum wage at any of our restaurants. We're significantly above minimum wage across the country, because we truly believe that people are the heart of our business, and we take care of our teams.
Dennis Geiger: Great. Thanks, guys. And congrats. 
Michael Osanloo: Thank you, Dennis.
Operator: Our next question comes from Nicole Miller with Piper Sandler, please proceed with your question. 
Nicole Miller: Thank you. Good morning. Labor costs are challenging, but if you flip it around and think about efficiency, how is labor efficiency? I think you measure that by items sold per labor hour?
Michael Osanloo: Yes. First of all, hi, Nicole, nice to hear from you. You are 100% right. It's one of the things that we take a lot of pride in. And I think -- I don't know if everybody remembers this or is aware of this. But during the pandemic year, we did not lay off a single person, we actually invested in our people. And we saw a massive increase in 2020 in labor efficiency, and you're 100%, right, we look at it in terms of items per labor hour.  And so we -- 2020 was an incredible year, it was probably too much to be honest with you, our people worked a little too hard. But the good news is, is that the investments that we've made in our people, the love that we've showed them, and the learnings and the cross training that we did, yields for us about a 10% improvement in IPLH in 2021 versus 2019.  And so, it is absolutely part of what's mitigating some of the cost pressures is that our folks are just more efficient. And they work incredibly diligently. And so and that we think that that's a learning that we got in the COVID year that will continue to bear fruit for us, our team members and our investors for years to come.
Nicole Miller: And can you just run through where you stood on a debt-to-EBITDA ratio at the end of the quarter? And why you're comfortable with that level? And ideally, does the ratio taper as EBITDA increases? Or would you be proactively paying down debt?
Michelle Hook: Yes, Nicole, I'll comment on our post debt structure, which after we paid off the Second Lien, the $155 million, we're roughly around a 3.5 times debt-to-EBITDA ratio. And so our expectation is, is that as we continue to grow that EBITDA line, we're naturally going to delever, but the capital structure is in a stronger position post IPO at the end of the quarter that ratio is obviously higher, just given that the payoff of the Second Lien occurred post Q3 as part of the IPO proceeds.
Nicole Miller: Alright, thank you so much, and good luck.
Michelle Hook: Thanks, Nicole. 
Operator: Our next question is from [indiscernible] with Bank of America. Please proceed with your question.
Unidentified Analyst : Hi, thank you. I have a question about labor. And then just a quick follow up on the pricing comment. The labor investments you've made were partially offset by you said lower staffing levels, but also increased productivity as you were just discussing, I guess, can you talk about the extent to which not having as much staff as you would like might have hindered top line? I know you said you didn't have to close restaurants.  But presumably, your lines were longer and perhaps you lost some sales from that perspective. So any insights you might have on whether that actually affected your sales? And also to the extent that there's more productivity? Can you just remind me, is that some of the technology that you've invested in? Or what's been driving that in terms of systems?
Michael Osanloo: Great, first, great to hear from you. Thank you very much. There's a lot again, in that question of yours. So there is -- we think about the labor algorithm, there's a bunch of things going on. So the first thing is that we are sort of slightly understaffed versus ideal, right. And so that has flexed a little bit but think of it as we're roughly 10% understaffed versus ideal over the course of the third quarter. The second element of that is we're more productive than historical during that quarter. And then the third component is that the hourly wage is -- in third quarter was significantly higher than the third quarter in the prior year. So there's three different elements working against one another.  Intuitively, you're absolutely right, that when you are understaffed, you are providing a less than perfect experience to guests and it slows things down, it slows down your drive thru, it slows down your line. So intuitively, it would be hard to argue with your premise that better staffing results in better performance, which results in better guests repeat and frequency.  So we certainly plan on staffing fully as those opportunities avail themselves, because we intuitively believe that fully staffed restaurants perform better, and that there's some comp opportunity there. So 100% agree with the way you're thinking about it and that logic.
Unidentified Analyst: Great, thank you. And then just on image on pricing, I know you talked about, you know, really being cognizant of your customer and thoughtful about it. I'd like think about going forward, though, should I be thinking about kind of stable trends, you added some price, maybe you give some of that back in traffic. If I think about kind of the two year I know, there are all kinds of puts in takes, but as I think about elasticity, is the right way to sort of see it as just sort of a one to one traffic price trade off, or you think you have the ability to take price and again, hold more of that traffic. So we might actually see an acceleration in comp.
Michael Osanloo: It's a -- I'd say this is a remarkable business in that as I've looked at it, our pricing does not have the same elasticity effect as I've seen another restaurant businesses or consumer businesses. We have more inelastic demand, than I think people would expect. So I think there's a lot of the pricing that is incremental.  That being said, we also need to be really, really careful and smart about how we price. Michelle said it earlier, and I want to reiterate it. Our business we believe is healthy when it's driving transaction growth. That's hugely important to us and our team, we want more people coming through our restaurant that's healthy.  I think pricing is an important lever to deal with what I will describe as idiosyncratic cost increases. So some of the craziness that we saw in the last 12 months on commodities and the labor markets, you really have no choice but to price some of that away. But our healthy business is run by driving transaction growth. That is our intent.  The good news is that we have a very sharp value price proposition. We are pricing after most of fast casual QSR have priced and so there's from across the elasticity effect, we look really good. And we will continue to make sure that we're managing that great value proposition, while still covering idiosyncratic cost increases in commodity and labors. 
Unidentified Analyst: Thank you.
Operator: Our next question is from Alton Stump with Loop Capital. Please proceed with your question.
Alton Stump: Great, thank you. Good morning. I just wanted to ask, investment in five was talked about a target of 25% cash on cash return by year three, but you've clearly you've outperformed that with your openings or last couple years even a missed the pandemic outbreak. So it appears to be being a bit conservative, or is there some reason why we should see cash on cash returns going forward below what you have been able to do over the last couple of years?
Alton Stump: First, very nice to hear from you, Alton. I feel like you're jinxing us with that comment. We're really -- we're cautiously optimistic that the performance that we're generating from these last couple classes or restaurants are exactly what we expect going forward. And we are -- we expect to be our -- as a management team as a leadership team, we're building restaurants, where we feel like there's a lot of upside and very little downside. So it's certainly our hope and our expectation, but I would not tell you to necessarily bank on it. Is that fair?
Alton Stump: Yes, no, absolutely. That definitely makes sense. Thank you for that. And then just as my follow-up. It's kind of think about it building outside of which call your Chicago RAM market, of course Indiana, Michigan et cetera. If I assume that probably the average cost of those is a bit lower than your existing bills that you've done in your core market as an AV, is, of course, a bit lower was still awfully industry leading of course, but kind of how the average returns in your core versus non-core markets are trending?
Michael Osanloo: Yes, there's so much noise in that. I mean, it's a great question. The problem is, there's so much noise in answering that question. Because, yes, historically, Chicago was more expensive to build, no doubt about that. But if I'm comparing historical Chicago bill to the cost today to build outside Chicago, it's kind of a wash, because everything has gotten so much more expensive. So what we're spending today to build is probably what we would have spent in Chicago a couple years ago to build.  So that's why there's noise. But your intuition that as we go to places like Florida, and Texas, and Arizona, and Michigan and Indiana, fundamentally, the cost of build is less than it is in dense Chicago market. And so the -- there's a good argument to be made that we can perform from a cash return standpoint, really, really well outside Chicago.
Alton Stump: Great, thanks so much Michael. I hop back in the queue.
Michael Osanloo: You bet. Nice to talk to you.
Operator: Our next question is from David Tarantino with Baird, please proceed with your question. 
David Tarantino: Hi, good morning. My first questions about staffing levels. Michael, I think you mentioned this third quarter, you're 10% below where you'd ideally like to be. And my question is, whether you're starting to see progress on narrowing that gap in the fourth quarter, and whether you've set any goals internally on getting back to fully staffed by a certain timeframe.
Michael Osanloo: A great question, David, what I would guide you towards is that, the two new restaurants that we just opened up, we just opened up in Westfield, Indiana, and will open in two weeks in Madison, Wisconsin, those two restaurants are fully staffed. And we are all like got our fingers and toes crossed. We're pleasantly surprised and we're hoping that that's an indication of staffing in general. We are staffing up across the system in general. For us, the holidays are really a big deal. We do a ton of catering.  We have a lot of seasonal staff, lot of kids who've gone off to college and come back and want to grab a few hours. And so we are seeing some staffing improvement. But I'm not ready to declare victory, or even I'm just not ready to declare that yet. I think there are certainly positives. I would say there's more positive signs and negative signs. But in no way do we feel confident to declare victory on labor.
David Tarantino: Got it. Thanks for that. And then I had a question about how you're thinking about prototype design on a long-term basis. I mean, you've seen a very big change in the mix in your business. And I realized that may not have fully settled out yet. But to the extent you have a lot less dine-in business going forward and more drive through and digital and delivery business. How you thinking about changing how the prototype is designed? And is there an opportunity to optimize the cost of the box, when you're building out new units? So any thoughts on that would be great.
Michael Osanloo: It’s another great question, you're going to allow me to wax on about one of my favorite topics. So we are going to quote the great one we're going where the puck is going, not where the puck is. And so -- and where the puck is going is exactly what you described, which is a bigger percentage of our sales will continue to be off premise versus on premise. And so the prototypes that we are building including what we built in Glendale, and Orlando and Addison and Kimball in Chicago and Sterling Heights, there they we are gearing towards increased off premise sales. So what you see in these restaurants is less formal dining space, the dining rooms are getting a little smaller.  Now we're kind of cheating a little bit because we're supplementing them with outdoor patio spaces that are really highly desirable from guests and very flexible. But we're being very thoughtful and creating a dedicated entrance and vestibule for third-party delivery.  We're creating special format special access for off premise. I mean, we've done a bunch of things where curbside is now -- I think we've cracked the code on it. We're doing this racking system right by a door right by parking spots so people can come in and get out super quickly.  And then as we've mentioned, we're building that drive thru only concept in Joliet. And I didn't say this but West Madison has a third lane drive through lane. It's essentially we're kind of toying with the idea of calling it a fast pass lane. And it's for people who have ordered via the app or want a curbside type experience, where you don't have to get out of your car, you can zip through that third drive through lane, and the food gets brought out to you.  So kind of my long winded way of saying 100%, where we are moving towards where the consumer is, which is the consumer says, we want more off premise access and availability. And the need to sit into the restaurant is coming down. And so that's how all of our new prototypes are being built.
David Tarantino: Great. Thanks for the context.
Michael Osanloo: You bet David. Nice to talk to you.
Operator: Our next question is from Chris O'Cull with Stifle. Please proceed with your question. 
Chris O'Cull: Yes, thanks. Good morning, guys. Now that we're in mid-November, I wanted to ask about catering in large group orders. I know the holidays typically provide or bring a sizable volume list. So I was just curious what kind of visibility you have at this point into how that shaping up for the year and then I had a follow-up.
Michael Osanloo: Yes. And you get this right. There's this whole ecommerce and catering business that is just a monster for us in the fourth quarter. A lot of people won't know this. But Christmas Eve is our single biggest day of the year. It is a massive day, all hands on deck. We have team members from the restaurant support center out at all of our restaurants helping because catering, Portillo's is a thing. And it's a huge thing in Chicago area on Christmas Eve, so catering, the E-commerce business take off during the fourth quarter.  I would tell you we have I'm not going to tell you anything on a forward looking basis. But I will tell you that the last few weeks have been extraordinarily strong from a catering business significantly positive comp over last year, I would be loath to tell you the numbers because I don't want you to plan on those numbers. But we feel really, really good about the way our catering business is performing right now. We're cautiously optimistic and think that it should be a really nice bounce back from last year for us.
Chris O'Cull: Great. And then can you speak a little bit more about the third order ahead drive through lanes that's being tested. I'm just wondering how that's being received by consumers. And if you think that's a format, or I guess a design change that you'd look to implement going forward?
Michael Osanloo: Yes, just to be precise. I'm sorry, if I misspoke. But it's going to be in West Madison, which opens in two weeks. So it's anybody it's your guess is as good as mine and how it will be received by consumers? I honestly think it's going to be received really well. Because more and more consumers are asking for restaurant companies to be flexible in how consumer interacts with you. And there's all kinds of almost micro channels.  There's like a need for somebody who wants, if you're a mom with three screaming kids in the back, you don't want to wait in line you've ordered ahead on the app, and you've paid, you just want to pick up your food. We have made that super easy and we're going to see how that performs in West Madison. And we'll see how that performs in Joliet when we open that up in the first quarter of '22.  I think it's a very, very important learning for us. Because, if consumers continue to ask for and require these sort of nuances in how you engage with them. I think the restaurant companies that respond to that and can acquiesce to that kind of consumer demand or to be in a better position and I think that's us, I think we as I said in my opening remarks, we were multichannel before it's a thing. We're always going to be super responsive to what the consumer wants and how they want to interact with us. And if there's a way of making that third lane work institutionally, then heck yeah, we'll do that.
Chris O'Cull: Makes sense? Thanks, guys.
Michael Osanloo: Thank you.
Operator: Our next question is from Gregory Francfort with Guggenheim Securities. Please proceed with your question.
Gregory Francfort: Thank for the question. I had two just, the first one, just the pricing. I think historically, you guys have taken pricing once per year and this year, you're basically taking it twice. Can you tell me when you evaluate that and when you normally take it just as we think about next year, what might happen? Thanks.
Michael Osanloo: So, I think, Greg, first of all, good to hear from you. I will tell you the last couple years, we've been a little bit more, and I like to think of it as agile on pricing. So yes, we certainly do a pricing event late in the third quarter early in the fourth quarter. And that's sort of the primary annual rhythm on pricing, we like to look at pricing late in the third quarter early in the fourth quarter, set the price and then go through the year. But in the last couple years, where there has been either a need, or, some sort of inflationary demand, we've also done smaller pricing in the late spring, early summer.  And so I don't think I want to tie down to a specific rhythm on pricing. We look at pricing on a weekly basis, we scrape competitor data, we look at what the elasticity impact is of our existing pricing. We are analyzing it on a regular weekly basis. Now, we're not going to price that frequently. But I think it's really important to know what your competition is doing. It's really important to know what consumers are experiencing. And it's really important to gauge consumer response to ongoing pricing.  So it would not -- I mean I don't think it should surprise anyone if we take a small pricing sometime in next year, right, because, as Michelle mentioned, we're looking at commodities, we're looking at labor, where we see idiosyncratic issues, we may need to price where we're seeing pockets of inflation, we may need the price.
Gregory Francfort: Got it? Got it. And then it seems like the two companies investor, the two sort of themes investors most focused on is on that labor, the ability to kind of staff restaurants as well as the price increase. Can you maybe talk about why you like Portillo's has greater pricing power than some of your competitors out there? Is it just the absolute level of check or kind of how you're thinking about why Portillo's is a differentiation on that ability? Thanks.
Michael Osanloo: I mean, I think Greg, it starts with the fact that the average ticket per person at Portillo's is $9.60. I mean, it's just -- let's just start with that. Compare -- and you know, we've -- you obviously know, right, that number is not like pulled out of my rear end, that is a number that is validated, it's vetted, it's gone through SEC scrutiny, that's a real number. And that is a surprisingly low number for the quality of our food, for the abundance of our food and the experience that we provide. And so I think it starts with we have an incredibly sharp value proposition.  And so that is one of the reasons why we perform as well as we do and why we have the revenues per unit that we do, because we have an incredibly sharp value proposition. We -- it certainly seems to me like we have we have latent pricing power, I see where our competitors are pricing, I see how aggressively they're pricing.  Our pricing, if you go through all the details, we continue to be priced laggard, we don't price as much or as frequently as our competition. And I think it means that when we need the price, people accept it. And they've already been inured to the price points that have gone up everywhere else.
Gregory Francfort: Thank you.
Michael Osanloo: You bet Greg. Nice talking to you.
Operator: Our next question is from Sharon Zackfia with William Blair. Please proceed with your question.
Matt Curtis: Hi, it's actually Matt Curtis on for Sharon. I have a question on your menu and evolution. You've recently done a lot of menu simplification while you were private. And I was just wondering about going forward how you think about the menu evolving in terms of new products or specific categories you may be looking to expand?
Michael Osanloo: It's a great question. And yes, we have been, disingenuously simplifying the menu. On average, we took I think 75 skews out of each restaurant during the pandemic, there were some restaurants that we took 150 to 200 skews out. We have taken menu items out, we have dramatically improved menu items. We had -- if we -- we’re constantly are evaluating our menu and seeing what sells and what do guests like, and if there's stuff that sells but guests don't like we've worked hard to improve them. I mean I’ll tell you, we've improved our Caesar salads. We had a cold chicken on it that just wasn't really good. I was embarrassed. We dramatically improved the quality of the chicken, the salad is better. We dramatically improved the quality of our fish sandwich.  And so I think the first priority for us is to always make sure that every single item on our menu is amazing. And we're kind of ruthless in that sense that we look for things that we don't think are as good as they should be. And we either make them much better, or we replaced them with something else that's much, much better. And a perfect example of that is our spicy chicken sandwich. We have a chicken sandwich or broiled chicken sandwich on a croissant that just wasn't very good. And so we killed it.  And we brought in the spicy chicken sandwich, which was amazing. It's actually pushed up our chicken category by 27% year-over-year. And that is awesome. It's a great win for our guests because they love it. The chicken sandwich is unique, because it's got a spicy jarred narrow sauce on it. I'll give you a free Portillo's if you can all pronounce jardiniere correctly. But it’s really it's a unique thing that's ownable to us. It's not like what any other restaurant company does. We're not trying to be like everybody else. We want to be Portillo's. And so and I think that's a perfect example of menu innovation.  There are other things on our menu that our culinary team is taking a hard look at. And I tease because I call it a Darwinian exercise with the menu, we have the strong kill the weak, and that's what we do.
Matt Curtis: Okay, great. And then I guess just another question on G&A, obviously, you can have the incremental public company costs for the next little while. And it also sounds like some of your investments in training, and things like technology, perhaps are likely to continue. But I'm just wondering if you've talked about the company's ability to leverage G&A that is on an underlying basis, going forward? 
Michelle Hook: Yes, it's a good question. And I think when you look at to your point in the future quarter and years to come, we're going to have incremental public company G&A. I also mentioned in my prepared remarks, we're going to have incremental stock based compensation expense as a result of some of the modifications and changes to our equity incentive plan. And so you're going to see that come through.  And once you strip out, I'd say those two big buckets, we do expect to leverage G&A as we move forward, but it's not going to be at the expense of not investing in the training, particularly around the folks that we need to run our restaurants in the future. So we're going to continue to make investments in training or future restaurant leaders. But I can tell you that Michael and I are committed to definitely leveraging that line as we move forward when you when you pull out those two line items.
Matt Curtis: Okay, terrific. Thanks very much, and congratulations on the IPO. 
Michael Osanloo: Thank you. 
Michelle Hook: Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.